Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good day. Thank you for standing by. Welcome to the Full-Year and Fourth Quarter 2021 Adaptimmune Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session.  00:27 I would now like to turn the conference over to Ms. Juli Miller. Please go ahead ma’am.
Juli Miller: 00:33 Good morning, and welcome to Adaptimmune's conference call to discuss our full-year and fourth quarter 2021 financial results and business updates. I would ask you to please review the full text of our forward-looking statements from this morning's press release. We anticipate making projections during this call, and actual results could differ materially due to several factors, including those outlined in our filings with the SEC. 00:59 Adrian Rawcliffe, our Chief Executive Officer, is with me for the prepared portion of this call. Other members of our management team will be available for Q&A. 01:09 With that, I'll turn the call over to Adrian Rawcliffe. Ad?
Adrian Rawcliffe: 01:15 Thanks, Juli, and thank you everyone for joining us. We filed our Form 10-K earlier today and I’d like to recognize the team for their hard work enabling that to happen. Late in the process, we identified a material weakness in the operation and design of specific controls for the calculation of the valuation allowance against differed taxation. This has no impact on our cash or cash runway. We have a plan in place to remediate this weakness and I refer you to the 10-K for further details. 01:49 I’ll begin the call today by laying out our focus for 2022, which ties into and will ensure delivery off the next stages of our 2-2-5-2 strategic plan. This year, we are focused on four main areas. 02:06 Firstly, we intend to file up BLA for afami-cel for the treatment to synovial sarcoma in Q4 of this year. Secondly, we will continue building on our MAGE-A4 franchise with the SURPASS family of clinical trials. Thirdly, with our Allogeneic platform, we are making progress towards filing our IND for our first wholly-owned Allogeneic product targeting MAGE-A4 next year. 02:39 And lastly, we are scaling up our manufacturing facilities to deliver cell therapies for our first commercial product and our ongoing and planned clinical trials, including this first Allogeneic product. 02:53 I want to touch briefly on each of these and describe the progress we made last year and our plans for the coming year. The first focus area is filing the BLA for afami-cel. Our first generation SPEAR T-cell product targeting MAGE-A4. In less than two-years, against the backdrop of a global pandemic, we have successfully completed enrollments and treatment in Cohort 1 of the SPEARHEAD-1 pivotal trial, which will serve as the basis for the BLA. 03:25 We’ve completed the efficacy analysis for Cohort 1 and as we shared during the JP Morgan conference, the trial has met its primary endpoint. Further, at CTOS, we reported an overall response rate per independent review of 36% for patients in this heavily pre-treated synovial sarcoma patient population. 03:47 At the time of this data cut, the median duration of response had not been reached with 75% of the responders still in response. The non-clinical dossier for the BLA is complete, and the pediatric plans have been agreed with the regulatory agencies. 04:03 Going forward, we are working on additional elements required for the BLA filing, including supply of vector from  Biotech’s new facility, vector and T-cell product characterization, method validation for the lot release assays, including our potency assays, and completion of the clinical and CMC dossiers. 04:27 We are confident in our capabilities to deliver against these remaining elements and we will report progress throughout the year. We're planning to present data from Cohort 1 of the SPEARHEAD-1 trial at ASCO, as well as combined data from Cohorts 1 and 2 at CTOS. 04:45 The second focus area for 2022 is to continue building our MAGE-A4 franchise with the SURPASS family of trials using our next generation ADP-A2M4CD8 SPEAR T-cells, targeting MAGE-A4. 05:01 At ESMO last year, we presented data from our Phase 1 SURPASS trial in multiple solid tumor indications. We reported an overall response rate of 36% with a confirmed complete response in ovarian cancer and confirmed partial responses in Ovarian, head and neck, esophagogastric junction and bladder cancers, as well as synovial sarcoma. 05:26 Based on these and earlier data, we initiated recruitment in a Phase 2 trial, SURPASS 2 for people with esophagogastric junction or esophageal cancers. And we'll initiate another Phase 2 trial SURPASS 2 for people with ovarian cancer this year. 05:45 The SURPASS Phase 1 trial continues to enroll, focusing on patients with gastroesophageal, head and neck, lung, bladder, and ovarian cancers. And we’ll add an arm to this trial to combine our spare T-cells with a checkpoint inhibitor. We plan to present data from the original protocol of the Phase 1 SURPASS trial at ESMO this year. 06:06 The third focus is our allogeneic program. We are the only company in our space with advanced autologous cell therapy trials, as well as a stem cell derived allogeneic T-cell platform. Autologous therapy is a critical for near and medium-term value creation, and they provide learnings that will drive the long-term success with our allogeneic platform. 06:30 We've demonstrated in our allogeneic platform that we can produce T-cells from stem cells that kill cancer cells in vitro and do so in a serial fashion. We plan to file an IND for our wholly-owned allogeneic cells targeting MAGE A4 next year, and we've become building a dedicated allogeneic manufacturing facility in the UK. 06:51 Last year, we announced our strategic collaboration with Genentech to research develop and commercialize allogeneic cell therapies. This collaboration covers development of products for up to five shared cancer targets, as well as a novel allogeneic personalized cell therapy platform. The collaboration has initiated, and we received $150 million upfront payment in Q4 last year as reflected in our financials. 07:20 The last focus area for 2022 is to add scale to our CMC capabilities. Our 2-2-5-2 strategy is underpinned by our integrated cell therapy capabilities. And I don't think it's controversial to say that to be successful as a cell therapy company, needs strength and depth across manufacturing and supply chain. 07:41 When we've been consistently thoughtfully investing in our CMC capacity for more than seven years and have built an impressive set of capabilities, we've produced hundreds of batches of cell therapy for our autologous clinical trials with multiple products across a broad range of tumors. 07:59 The GMP manufacturing capabilities at Navy Yard are now being expanded to meet the needs of our first commercial product as well as our ongoing and planned late stage clinical trials, with both  construction of an additional manufacturing facility, in the UK for allogeneic therapies. And finally, our in-house vector manufacturing in the UK has been successfully running for about two years now. 08:28 At Adaptimmune, we are motivated by a shared mission and vision to transform the lives of people with cancer by designing and delivering cell therapies. As part of that commitment, we've bolstered our internal teams. We appointed Cintia Piccina, as Chief Commercial Officer in January. Cintia has deep experience in oncology and in particular with cell therapy. She will be a great champion of our products and the BLA this year is only the beginning of our ambitions here. 08:58 We also hired Irving Ford, as our Head of Quality, who previously worked on delivering market cell therapy products at both Novartis and BMS. 09:10 In conclusion, we have seen the power of T-cells to treat cancer. As shown in our own engineered TCR T-cells and also CAR-T’s still as  checkpoint inhibitors. 09:23 We’ve taken an ambitious part to develop cell therapies for difficult to treat solid tumors and it is extremely gratifying and motivating to hear about the impact of our cell therapies have in conversations with our investigators and the people they treat. 09:40 We are leading the way in engineered TCR T-cell therapies for cancer, and we are on the verge of filing our first BLA, which if approved will be the first engineered TCR T-cell therapy on the market, and we're well funded into early 2024 to deliver on our objectives. 09:57 With that, I'd like to open up for questions. Operator?
Operator: 10:01 Thank you.  First question comes from the line of Marc Frahm with Cowen. Your line is open.
Marc Frahm: 10:19 Hi. Thanks for taking my questions. Maybe just to start-off, you listed a handful of different elements of the CMC dossier that you need to be completed over the next couple of quarters to get the BLA submitted in Q4, which of those you can view as the rate  next step to the CMC dossier or are they all kind of on the same path?
Adrian Rawcliffe: 10:46 So, I'm going to ask Dennis Williams who leads our Late Stage Development over afami-cel to comment on that. Thanks Marc. Dennis?
Dennis Williams: 10:56 Sure. Thanks Marc. So, I think some of those activities for T-cell process performance qualification need pre-requisite to be complete meaning things like assay method validation, you need to have your commercial vector in hand. So, I wouldn't necessarily categorize one versus another as being great limiting, but the  , essentially it is the last step in the chain where you need to complete those prerequisites first. So, chronologically it is the last activity to occur prior to finalizing Module 3 of the BLA.
Marc Frahm: 11:41 Okay. That's helpful. And then maybe just with experience of the team having filed some other work towards commercialization filing with some other self-therapies, maybe compare and contrast those – the assays that you need to kind of fully validate here to what's been done with some other cell therapies has successfully developed and then maybe also with what we've seen go on in the  space?
Dennis Williams: 12:08 Sure. This is Dennis Williams again. So, many of these assays were validated prior to – if you see even in Phase 2 trials and including SPEARHEAD-1. Now, as we look towards commercialization, we like to tighten these assays and further optimize, so these are the method validations that I'm speaking about that where, you know these are ongoing process now for the . 12:35 I think maybe you're alluding to potency assays, and I think for what we do that we use antigen specific for the toxicity assay, right. So, I think our circumstance for potency is quite different from what one may see in the TIL therapy. We've been using the same set of toxicity assay, it's prior to the start of SPEARHEAD-1. 13:00 So, hopefully that – I don't know if I addressed your question or not.
Marc Frahm: 13:05 Yes. That’s helpful. Thank you.
Adrian Rawcliffe: 13:09 Thanks Marc.
Operator: 13:12 Your next question is from Michael Schmidt from Guggenheim. Your line is open.
Unidentified Analyst: 13:18 Hi, everyone. This is Paul on for Michael. Thanks for taking the question. First one is just, quickly could you provide some guidance on how many additional patients you get from the SURPASS trial at ESMO this year? And then secondly, there was some data last year from the Immunocore   targeting MAGE-A4 with somewhat different enrollment criteria in terms of expression, wondering if you could just talk about differentiation from your approach, maybe how you view coming updates from that program relative to your MAGE-A4 franchise? Thanks.
Adrian Rawcliffe: 13:53 Thanks. So, I'll truncate, we've not been specific about the number of patients, but we anticipate that it will be a significant update and that's all we've said of about patients. With respect to the differentiation of our cell therapy from immune it goes specific, and other matters I'll ask Elliot to comment on that.
Elliot Norry: 14:13 Yes, I'll just add that with respect to the update that's anticipated at ESMO, we do anticipate that will be across tumor types. Yes. With respect to the Immunocore data, I mean I think there was a publication earlier this year where they made initial data public. And their approach to antigen expression was really quite different from ours and in addition to that, the data they presented was really very early. So, I think it's really premature to make broad comparisons. 14:52 We're pretty rigorous about ensuring that patients who come into the trial have a known level of antigen expression. And that helps us with respect to interpreting the results. I think that at least our takeaway from the information that was published by Immunocore was that for some of their tumor types they did not require antigen expression measurement prior to entering the trial and then did that retrospectively. 15:31 And they also saw some responses with what they described is very low levels of expression, although the durability of those responses was not very well. I just don't think they've had enough time to be able to fully describe it in the early publication. So, the bottom line is that I think there's a long way to go as it relates to making comparisons. I think we will stand behind our data with clear definition of antigen expression and resist response rate of 36% in very advanced patients with multiple tumor types.
Unidentified Analyst: 16:19 Great. Thanks a lot.
Adrian Rawcliffe: 16:21 Thanks Paul.
Operator: 16:25 Next is from Nick Abbott from Wells Fargo. Your line is open.
Nick Abbott: 16:31 Good morning. Thanks for taking our questions. I first add in terms of expansion of the Navy Yard. Could you talk about, sort of what percentage increase in capacity over current capacity are you targeting there? And presumably, this is going to come online following a BLA approval?
Adrian Rawcliffe: 16:56 Yes. So, I'll ask John Lunger, our Chief Patient Supply Officer to comment on that. John?
John Lunger: 17:02 Yes. Thanks for the question. So, yes, the current capacity we have in the facility is around about 300 or so patients a year. And when I talk about capacity, I'm talking about room and equipment, and then when I say current capacity, I mean, we have the staffing available to do that. The expansion in the AVR will bring us up to a theoretical capacity of 600 to 700 patients per year out of that facility, which is a combination of clinical supplies for future autologous products, as well as commercial for afami-cel. 17:34 So, we obviously will need to staff that. We’re looking to have the rooms complete and ready to move manufacturing in later on this year.
Nick Abbott: 17:44 Thanks. Appreciate the detail. And then, if I had to join later, apologies if you address this , so can you talk about a companion diagnostic for HLA MAGE-A4  these just get kind of rolled into current of NGS style diagnostics?
Adrian Rawcliffe: 18:10 I’ll ask Dennis to comment on that. Dennis?
Dennis Williams: 18:13 Yes, sure. So, I'll take MAGE-A4 first. So, we are developing with a companion diagnostic manufacturer Agilent that they are developing a commercial MAGE-A4 IHC test and we – that pre-market application or PMA is plan to be scheduled – it is plan to be submitted contemporary initially with the BLA. So, that will be the diagnostic companion that will – patients for  will be selected in the commercial setting. 18:52 For HLA, we use a 5, 10-K cleared presently. It's kind of sequencing and that is likely to be the test that people will use in the commercial setting. Your comment is well taken about   and I’m quite aware that the field is moving on with new technologies for HLA testing, but at the moment, we use in trials  sequencing test for HLA.
Nick Abbott: 19:26 Sure. Thank you and then last one for me, it goes to, obviously right when you selected to  is going to hit very high expression from MAGE-A4, but there is a sprinkling of  in other sarcoma subtypes, so, can you think there would be any interest or you still have position to the interest for evaluating this in other sarcoma subtypes that may have lower levels at MAGE-A4 than you see in the two that you selected so far?
Dennis Williams: 20:11 Yes, thank you. This is Dennis Williams, again. That's a good question and we are  value it and you to evaluate the C expression levels of MAGE-A4 and other sarcoma subtypes as you mentioned. 20:27 Sarcoma as a disease is very heterogeneous and there are many different subtypes. Of note, like for example, we certainly are looking to evaluate whether not any of the sarcoma’s that occur in children with express MAGE-A4 as we consider, you know pediatric plans. But some of that will have at the end of the day will be dictated on how much expression level there is and how some sarcoma subtypes are even rare than the  like the sarcoma or synovial sarcoma. So, that's something we're continuing to evaluate at this point in time.
Nick Abbott: 21:13 Thank you very much.
Adrian Rawcliffe: 21:15 Thanks Nick.
Operator: 21:18 Next, we have Jonathan Chang from SVB Leerink. Your line is open.
Unidentified Analyst: 21:25 Hi guys, this  on for Jonathan Chang. Just had a question on SURPASS-3, if you had any updated thoughts or guidance on what the ideal patient population is within ovarian cancer for the SPEAR T-cell approach?
Adrian Rawcliffe: 21:43 So, maybe I'll just take that one very quickly. The patients treated in SURPASS-1 platinum and eligible patients, and we probably anticipate that the SURPASS-3 trial will recruit into a similar population.
Unidentified Analyst: 22:03 Got it. Thank you. And then for SURPASS-2, does prior PD-1 have an effect on the activity of SPEAR T-cells and does this inform the trial design in any way?
John Lunger: 22:18 Yes. So, I think that the impact of prior checkpoint inhibition with respect to T-cell therapy is one that we're continuing to evaluate. In that patient population, the vast majority of patients going forward are likely going to have received checkpoint inhibitor as part of their first-line therapy. 22:47 So, we're specifically aiming to study that population and actually allows us an opportunity to potentially treat patients, some patients in second line, as compared to after the sequence of chemotherapy followed by checkpoint inhibitors, those patients often get them in combination. 22:18 So, I think that the data will have to bear itself out, but in the realm of treating a range of solid tumors, in late stage, we're certainly gaining plenty of experience of dosing patients who have already received checkpoint inhibitor. That doesn't preclude that they couldn't benefit from further use of checkpoint inhibitor with – in combination with T-cell therapy and we're going to be exploring that as well. Adrian mentioned earlier that we're opening an arm of the SURPASS trial, the Phase 1 SURPASS trial to look at T-cells in combination, our SPEAR T cells in combination with checkpoint inhibition.
Unidentified Analyst: 24:00 Got it. Thank you for the explanation.
Adrian Rawcliffe: 24:03 Thanks.
Operator: 24:06 Next question is from Peter Lawson with Barclays. Your line is open.
Unidentified Analyst: 24:12 Hi everyone. This is Alex on for Peter. Thank you for taking our question. Just on the Genentech collaboration, I was just curious what we should expect to learn from this over the next year. So, maybe in terms of targets to any plans to disclose that? Thank you.
Adrian Rawcliffe: 24:31 I'll ask I'll ask Helen to answer that for you. Helen?
Helen Tayton-Martin: 24:36 Yeah, Hi there. So, we haven't disclosed the target selected by Genentech and there isn't actually an intention to do that. What we have talked about is there are research milestones, which we will continue to track through, which comes part of that deal. So, I think really that's probably where we will be updating on the market. It will be to progress that come through those committed payments. So, that's all I can say. It’s kicked off well and it started well. So, we're really pleased with progress so far.
Unidentified Analyst: 25:09 Great. Thank you.
Adrian Rawcliffe: 25:11 Thank you.
Operator: 25:14 We have a question from Soumit Roy from Jones Trading. Your line is open.
Unidentified Analyst: 25:20 Hi. This is  for Soumit Roy. Thank you for taking my question. If for,  about the Cohort 2, that you expect to update data in ASCO, if upon the positive, do you expect to submit the data also to support the BLA?
Adrian Rawcliffe: 25:53 I'll ask Dennis to highlight data that we'll be presenting at ASCO and CTOS and how Cohort 1 and Cohort 2 will be used in the BLA Dennis?
Dennis Williams: 26:03 Yes, sure. So, guess, for ASCO, actually Cohort 2 data is not planned to be presented. For ASCO, there are plans to present data that's actually pulled from our Phase 1 experience in sarcoma, as well as the data from Cohort 1, SPEARHEAD-1 in the final date set. So, this is data that's more mature than what was presented at CTOS. 26:29 And that are really focusing on areas about where  that may be interesting from – that may impact efficacy. So, stay tuned for that. That'll be something we submitted for ASCO. At CTOS or we're targeting to have data from both Cohort 1 and Cohort 2 presented. To answer your question about the BLA, Cohort 1 is the primary dataset that is intended to be in the BLA and that is – the clinical documents are being written around. 27:09 Ultimately for the BLA, we will have to update as required as something that’s known as the safety update and Cohort 2 data would be utilized for that data, but Cohort 2 data is not planned to be included from an efficacy perspective.
Unidentified Analyst: 27:26 Got it. Thank you.
Adrian Rawcliffe: 27:28 Thank you.
Operator: 27:31  We have a question from Mara Goldstein from Mizuho. Your line is open.
Unidentified Analyst: 27:43 Hi, everyone. This is Jerry  for Mara. Thanks for taking our questions. The first one is for the single center study of the TIL program; can you give us some more details on which indication the company may be focusing you on?
Adrian Rawcliffe: 27:57 Certainly. I’ll ask Karen to answer that. Karen’s been leading the TIL effort today.
Karen Miller : 28:04 Yes, of course. This is going to be a single census study, working in partnership with  at the CCIT in Denmark, and we are targeting melanoma with a TIL product that is enhanced by the secretion of Interleukin-7.
Unidentified Analyst: 28:28 Got it. Thank you. And for the finances, I believe the current guidance is for 2024, which should include some milestones, how much of the current runway guidance includes these milestones?
Gavin Wood: 28:44 Hi there, it's Gavin Wood, CFO. We have broken out in detail, but we're  going to early 2024.
Unidentified Analyst: 28:52 Got it. Thank you.
Adrian Rawcliffe: 28:54 Thank you.
Operator: 28:57 There are no further question at this time. I would now like to turn the conference back to Mr. Adrian Rawcliffe.
Adrian Rawcliffe: 29:05 Thanks. And thanks everyone for your time and your questions today. I look forward to updating you throughout 2022 as we track towards the BLA for the first ever Engineered TCR therapy, afami-cel for synovial sarcoma. Thanks, and have a great day.
Operator: 29:28 This concludes today's conference call. Thanks for joining. You may now disconnect.